Operator: Welcome and thank you for all for holding. I would like to inform participants that your lines have been placed on a listen-only mode until the question-and-answer portion. (Operator Instructions). Today's conference is also being recorded. If anyone has any objections you may disconnect. I would now like to turn the call over to your host, President and Chief Executive Officer, Mr. Martin Mucci. You may begin.
Martin Mucci: Thank you. Good morning and thank you for joining us for our discussion of the Paychex's fiscal 2014 year-end performance. Joining me today is Efrain Rivera, our Chief Financial Officer. Yesterday afternoon after the market closed we released our financial results for the fourth quarter and fiscal year ended May 31, 2014. We expect to file our Form 10-K by the end of July. Our earnings press release is available by accessing our Investor Relations page at paychex.com. This teleconference is being broadcast over the Internet and will be archived and available on our website for about a month. On today's call I will review the highlights for the fourth quarter and fiscal 2014 in operations, sales and product development areas. Efrain will review our fourth quarter and fiscal 2014 financial results and discuss our fiscal 2015 guidance, and then we'll open it up for your questions. We are pleased with our solid financial performance during fiscal 2014. Efrain will speak to this in more detail. However I would like to provide you some of the highlights from my view. Our payroll service revenue reached the top of our guidance range, driven by progress in revenue per check, client-based growth in checks per payroll. HRS revenues rose at double-digit rate in the fourth quarter with strong demand for our human resource outsourcing solutions and our 401(k) record keeping product. In fact we were recently recognized by Plansponsor Magazine for the fourth quarter consecutive year as the largest 401(k) record keeper by number of plans. We’re very proud of that and proud of our sales and operations teams in 401(k) among the other groups. Our payroll client base finished the year at approximately 580,000 payroll clients, an increase of approximately 2% from the prior year. This is an improvement over the fiscal 2013 client gain. Our checks per payroll has improved for 17 consecutive quarters. Fourth quarter growth was 1.1%. Sales performance during 2014 was strong and we exited the year with solid performance in core payroll and Paychex HR Outsourcing solutions in particular. Our new sales annualized revenue growth frankly reached the highest level it has in seven years. We’re very proud of the sales team and the leadership. Our execution in operations also continued to be excellent, demonstrated by our consistently high client satisfaction scores and our exceptional client service coupled with our leading edge technology and products, we really believe sets us apart from our competitors. The dedication of our service team resulted in our best year ever in client retention at approximately 82% of our beginning payroll client base. We continue to invest in our SaaS, software-as-a-service solutions and mobility offerings that position us for long term growth. We’re experiencing an increased demand for SaaS solutions across our client base. This month we acquired a leading cloud-based time and attendance solution provider. Our online time and attendance offerings have experienced strong sales over the last few years demonstrating the high market demand for these offerings and contributing to the success of all our online HR administration products. The addition of market leader nettime’s SaaS time and attendance products and development team will further accelerate our ability to deliver the latest cloud-based time and attendance functionality coupled with our HR and payroll solutions. Just last week we also announced the release of our new Paychex’s accounting online mobile app for the iPhone. The universal iOS app allows users to access their Paychex accounting online account from their iPad, iPhone or iPod touch to keep track of their business finances anywhere and anytime. In the past few quarters I have talked about the roll-out of new products designed to help our clients manage the compliance requirements of healthcare reforms. This includes our Paychex employers share responsibility service, a more robust monitoring service and our Paychex benefit account. These products while new to the market represent an opportunity for us as we’re uniquely positioned as both a payroll provider and insurance agency to help our small businesses with these regulations. The frequent changes in the rules has caused some clients to delay decisions on purchasing products or making decisions under health plans in the short term. However we continue to see healthcare reform as an opportunity as we’re able to provide clients with information and keep them updated on the latest compliance and requirements. We continue to strength our position as an expert in our industry by serving as a source of education and information to our clients, small and midsize businesses and other interested parties. We provide free webinars, white papers and other information on our website to aid existing and prospective clients along with CPAs and other interested parties with the impact of regulatory changes. The Paychex Insurance Agency, Inc., website helps small business owners navigate the area of insurance coverage and both this website and Paychex.com have sections dedicated to the topic of healthcare reform. During the fourth quarter in conjunction with IHS we launched the Paychex IHS Small Business Jobs Index. This monthly Index examines the state of small business employment in the U.S. and provides information on macroeconomic trends. By measuring aggregated small business payroll data from a subset of our small business client base the Index identifies and tracks small business employment growth and provides timely, accurate insight in to employment trends. We are encouraged by the recent results of the Index which have shown a trend of sustained moderate growth in employment for those companies under 50 employees. We’ve continued our shareholder friendly actions as well. We’ve maintained a very competitive dividend yield with our current quarterly dividend at $0.35 per share and we’ve also continued to repurchase Paychex stock and acquired approximately six million shares of common stock in fiscal 2014. In May our Board approved a new plan to repurchase stock up to 350 million shares -- $350 million worth of shares of Paychex common stock with the authorization expiring in May of ‘17. In summary I am extremely proud of our employees’ efforts on behalf of our clients and our shareholders. They have continued to deliver great solutions, high client satisfaction and record levels of client retention. We’ve a solid leadership team that is clearly focused on sales and service execution, technology innovation and product expansion to drive our plans in fiscal 2015. Our service revenue has increased over $400 million in over the last three years versus very little growth over the previous three. And even with accelerated product investment and innovation we’ve maintained the industry leading operating margins. We’re clearly focused on growth by providing our clients, the service and products that will help them succeed in their small and midsize businesses. I’ll now turn the call over to Efrain Rivera to review our financial results in more detail. Efrain?
Efrain Rivera: Thanks Marty and good morning. I would like to remind everyone that during today's conference call we'll make forward-looking statements that refer to future events and as such involve some risks. Refer to our press release, that includes a discussion of forward-looking statements and related risk factors, the customary disclosure. As Marty indicated Paychex delivered solid results in fiscal 2014 and just as importantly metrics improved across almost every category we looked at. Here are some of the key highlights for the quarter and fiscal ’14 and then I’ll provide greater detail in certain areas and wrap with a review of the 2015 outlook. We introduced new health insurance offering within our PEO during fiscal 2014. Due to self-insurance provisions within the new offering we began classifying certain PEO direct costs as operating expenses rather than a reduction in service revenue. The change had no impact on net income, a supplemental schedule was added to the press release to show the impact of the classification change on the fiscal 2014 results of operations. For this discussion of fiscal 2014 results I'm going to provide growth percentages that exclude the impact of these adjustments in order to focus on the business drivers and what’s currently in your models. In future periods all discussions will use results reflecting this change in classification. Total service revenue grew 6% for both the quarter and the fiscal year. Interest on funds held for clients increased 2% for the fourth quarter and decreased 1% for the fiscal year to $10 million and $41 million respectively. Low interest rates were partly offset by an increase in average investment balances. Expenses increased by 4% in the fourth quarter and 5% for the fiscal year. The increase was mainly in compensation-related cost with higher wages and higher performance-based comp. Wages were impacted by our investment in product development and supporting technology and new sales initiatives implemented in fiscal 2013. Operating margin was 35.9% for the fourth quarter and a robust 38.7% for fiscal 2014. Operating income net of certain items increased 8% to $218 million for the fourth quarter and 9% to $942 million for fiscal 2014. We are closing in on the $1 billion mark for EBIT and should surpass that next year. Operating margin is typically lower as you know in the second half of the year. Net income growth increased 18% to $146 million for the fourth quarter and 10% to $628 million for the fiscal year. Remember that and I’ve seen this in a couple of notes that there’s an implication to the guidance somehow we decelerated from this year but you need to remember that we took a $0.04 write-off in the fourth quarter of last year and that is what’s causing the fourth quarter to look high. Diluted earnings per share increased 18% to $0.40 per share for the fourth quarter and increased 10% to $1.71 per share for fiscal 2014. And I would just point out again that these numbers include the fact that we took -- increased our provision for state income tax matter in the fourth quarter. Looking at payroll revenues, payroll service revenue, it increased 3% for the fourth quarter and 4% for the fiscal year. We benefited from increases in revenue per check, client base and checks per payroll. Revenue per check was positively impacted by price increases partially offset by discounting coupled with the impact of increased product penetration. As Marty already mentioned our checks per payroll metric continued to improve and our client base increased approximately 2% from May 31, 2013. So the rate of growth on improvement in the client base accelerated this year. The payroll service revenue rate of growth was lower in the fourth quarter and this was a result as I mentioned throughout the year, one less payroll processing day compared to the same period in the prior year. The estimated impact on payroll revenue growth in the quarter was approximately 1% based on that lack of a day. HRS revenue, point out that during the year we upped guidance on HRS revenue and in the fourth quarter we grew 10%, to $213 million and 12% to $832 million for the fiscal year. Both were at the top end or the yearly guidance was at the top end of the range as Marty mentioned. We continued to experience rapid growth in both our ASO and PEO as well as in our online HR administration products. Paychex HR solutions experienced solid growth in clients and client employees served. You’ll notice that we did the disclosure, including the press release, we are up to almost 800,000 clients served and it won't be too long before we're talking about 1 million clients served by our products. Our PEO experienced strong demand during fiscal 2014. HR administration products continued to grow due to success in sales of SaaS solutions, in particular for our time and our attendance products. Retirement services revenue benefited from growth in number of plans, as Marty mentioned our recent recognition and an increase in the average asset value of retirement services, client employees’ funds. Insurance services revenue growth reflected higher average premiums in worker's comp insurance services. We have also experienced a modest increase in the number of health and benefit applicants. Turning to our investment portfolio our long-term portfolio which is primarily made up of high credit quality municipal bonds is an average yield currently of about 1.6% and an average duration of three years. Combined portfolios have earned an average rate of return of nine-tenths of a point for the fourth quarter and 1% for fiscal 2014 consistent with the same period last year. Average balances for interest on funds held for clients increased during both the fourth quarter and the fiscal year due to growth in checks per payroll and client base and wage inflation. For the fiscal year average balances also benefited from the expiration of certain payroll tax cuts on December 31, 2012 which resulted in higher social security withholdings. I'll now walk you through highlights of our financial position that remains strong with cash and total corporate investments of $937 million and no debt. That 937 is despite the fact that if you've read the press release that we spent $250 million in the year buying back shares. So we had a really strong year from a cash flow perspective, you can see that on the statement of cash flows. And I would say our financial strength is second to none. Funds held for clients as of May 31, 2014 were $4.2 billion compared to $4.1 billion as of May 31, 2013. Funds held for clients vary widely on a day-to-day basis and averaged $3.9 billion for the fiscal year, a year-over-year increase of about 4%. Total available-for-sale investments including corporate investments and funds held for clients reflected net unrealized gains of $35 million as of May 31, 2014. Total stockholders’ equity was $1.8 billion as of May 31, 2014 reflecting $511 million in dividends paid during the fiscal year. Dividends paid represented 81% of net income on return on equity for the past 12 months with 35%. Cash flows from operations, as I mentioned, were $881 million for the fiscal year, up 30% increase compared to the prior year. The increase was driven by higher net income, higher non-cash adjustments in net income largely due to higher amortization on premiums available for sales securities and changes in operating assets and liabilities. The fluctuations in our operating assets and liabilities between periods were primarily related to the timing of collections from clients and payments for compensation, PEO payroll and income taxes, fluctuations in income tax payments related to the settlement of a state tax matter in the fourth quarter of fiscal 2013. Now turning to 2015 guidance, I would like to remind you that our outlook for the fiscal year ended May 31, 2015 is based on current view of economic and interest rate continuing with no significant changes. Our guidance for 2015 is as follows; payroll service revenue projected increase in a range of 3% to 5%; projected growth is based on anticipated client-based growth and increases in revenue per check. HRS is expected to be in the range of 16% to 19%. This and total service revenue reflect change in classification of certain PEO direct cost as operating expenses rather than a reduction in service revenue. There is no impact in net income from the change. The impact of the change in classification and HRS revenue will add approximately 5% of the HRS revenue growth rate. The HRS revenue growth rate by quarters impacted by the classifications of PEO direct cost as we did not begin on new health insurance offering until January of 2014. I am going to come back to that. It’s very important as you look at your models that you understand that implication. HRS revenue growth also includes additional revenue from 401(k) plan restatements that are periodically required by law. Total service revenue is expected to increase in the range of 8% to 10%. The impact of the change in PEO classification adds approximately 2% to the service revenue growth rate. Operating income net of certain items as a percent of service revenue is expected to be in the range of 37% to 38% for fiscal 2015. Again this is based on the PEO changes to revenue. That’s why that number is lower than it was last year, so it does not imply any deterioration in our operating margins. Net income is expected to increase in the range of 6% to 8%. Our operating income, net of certain items as a percent of service revenues is expected to be between 37% and 38%. The PEO direct cost impacted by the reclassification are all reported in operating expenses. As you update your models I’ll have more to say about that in a second. Effective tax rate for fiscal 2015 is expected to be consistent with the rate we experienced in 2014. And interest on funds is anticipated to be relatively flat compared to fiscal 2014. Don’t expect it to be above it, don’t expect it to be significantly below it. And then while we don’t provide quarterly guidance the PEO impact to revenue requires further detail for you to accurately update your models. At the close of this call we will post a schedule on the website detailing quarterly HRS revenue growth expectations for fiscal 2015 as well as operating income margin due to the PEO reclassification. You need to look at that schedule to understand how to get the quarters right. The effects on revenue and margin are going to vary by quarter. The effects will be more marked in the first two quarters and then more attenuated in the back half because the plans that we put in place started in January in the PEO. So you should consult the schedule as you update your models. I'm happy to answer any questions you have and I’ll try to get to you if you want to call me today, happy to get to you quickly. And finally we anticipate the first quarter earnings growth will be modest due to investments in IT and sales force growth, and what happened was, compared to last year, we start the year at a higher rate of spending in IT than we did in the first quarter of last year. That’s because we continue to make significant investments in IT and also we were adding to the sales force. As the year progressed we continue to add to the sales force. We anticipate that we will be up approximately 5% in the sales force this year. We like what we’re seeing and feel now’s the time to invest. So with that I will turn it back over to Marty.
Martin Mucci: Okay thank you Efrain and now operator if you will open the meeting to any questions please.
Operator: Thank you. (Operator Instructions). And the first question comes from David Togut with Evercore. Your line is open.
David Togut - Evercore Partners: Thank you, good morning Marty and Efrain.
Martin Mucci: Hi, David.
Efrain Rivera: Good morning.
David Togut - Evercore Partners: Marty you indicated that FY’14 new sales, annualized revenue growth was the highest in seven years. Can you quantify for us what the sales growth was?
Martin Mucci: Dave, we don’t normally give that detail. I will just tell you that what we’ve seen has just continued to accelerate kind of throughout the year as we -- and we ended very strong in new sales revenue growth. And I think you know a few years ago we were fairly flat in the total annualized revenue that we were producing in sales and it’s started to pick up last year, and it’s continued to pick-up again this year and it is the best we’ve seen really since recession times, pre-recession.
David Togut - Evercore Partners: Can you maybe just bracket for us what the range might be, are you talking about mid-singles, high-singles, low-doubles?
Efrain Rivera: It’s in advance of our revenue growth. So that’s what we look at.
David Togut - Evercore Partners: Got it, and then with the new fiscal year kicking off can you quantify what your pricing strategy is in payroll for FY’15, did you already put through the price increase?
Efrain Rivera: We do tend to do that somewhere around this time. I won’t say exactly the date. Most of you actually know it. But I think our pricing view is what we’ve said -- we’re in that range of 2% to 4%.
David Togut - Evercore Partners: And what do you expect that to be net of discounts this year, ballpark?
Efrain Rivera: In the range. Sorry to be too coy.
Martin Mucci: It's a little early but I think based on what we've seen last year and this year we don't -- it's early right now on the feedback on that but I would say to the low to the mid-part of that range.
David Togut - Evercore Partners: Do you expect client count growth to approximate what it was in FY’14 or to increase based on the pipeline?
Efrain Rivera: Well hey look, it is July hard to believe. I think we would like it at least to equal this but our expectation, it will be better yeah.
David Togut - Evercore Partners: Got it and just…
Efrain Rivera: On that point I will say this that we exited the year in the fourth quarter at a nice clip. So we feel pretty good about where we're at, where we're starting the year.
David Togut - Evercore Partners: Got it, and just a quick final question. Efrain you highlighted the strong tax spending expected in FY’15, can you quantify for us the growth in tax spending this year and perhaps if you could touch on what your top couple of priorities are for that spending?
Efrain Rivera: On the priorities I will knock it back to Marty but I would say if you go back two or three years we were saying we were growing at close to 20% in some years. If you look at where we are in the last six years we've doubled the total amount of spend in the company. I mean it's a part of the fundamental changes company has undergone, our rate of spend now is essentially twice what it was when we entered the recession. That was a deliberate strategy -- we are, we understand this is a technology-enabled service business and that going forward we need to continue to spend at that sustained level. That doesn't imply an increase from where we're spending currently. It just implies that we continue to spend at a pretty significant rate and then, and the thing I am most proud of is that we do that and we expand margins which is pretty extraordinary. So and we think we still have an opportunity to do that. So I won't detail exactly what we spend, it was certainly solidly double digit and each one of those decisions around spending on tech is hard fought but I think that an emphasis that the company has created over the last six or seven years is significant investments in IT because that's the cost of being in this business. So I'll turn it over to Marty.
Martin Mucci: Yes, I’d say on the product overall it's integration and performance, so very broad spectrum of products that we have through both development and acquisition and our work has continued to be on integrating that. We've made a lot of strides in that. We just continue to keep -- trying to make it easier and easier for our clients that use the multitude of products. And then when we do that as well as the integration and simplicity of using all the products is the speed and the performance and we just keep up in the -- what were the goals of what we're trying to do there and we've had some nice success. Of course the mobility and so forth as well everything just keeps moving. We don’t build anything without going right back at it to make it faster and more integrated and easier to use.
David Togut - Evercore Partners: Much appreciated. Thanks for taking my questions.
Martin Mucci: Great, thanks.
Operator: Thank you and the next question comes from Jason Kupferberg with Jefferies. Your line is open.
Ryan Cary - Jefferies & Co.: Hey guys, this is Ryan Cary for Jason. Quick question on checks for payroll, I know in the past you had mentioned expectation that checks for payroll will moderate in the second half of '14, is the 1.1% growth you saw in the fourth quarter kind of more or less than you expected? And then going forward should we expect the first half of '15 to return to the first half of '14 levels or more consistent with the current run rate kind of like that 1%, is that going to be the new normal?
Efrain Rivera: Yeah -- so second question, second - same as the first, 1% is about what we expected and we quite frankly could see it moderate a little bit from where we are at this point, going in to next year. We don't expect it to pop up and with the launch of our Small Business Index I think we look at that data even more closely than we did before. And trends just seem to be slowly kind of plugging along at that rate.
Martin Mucci: That's kind of unchartered territories but after recession it continues to be kind of sustained, moderate growth in employment. So it's not going to be big jump back, it's been a slow and steady so to actually keep the growth in checks this long has been very different. So we continue to expect that to moderate but the hiring does seem to continue, so that’s good news.
Ryan Cary - Jefferies & Co.: Okay, great. And as we think about the quarterly progression results going into ’15 are there are any quarters we should be aware of that have either more or fewer processing days that can impact comps either direction?
Efrain Rivera: Yeah, thanks good question. The answer is no, thankfully I exhausted all my day’s explanation but stay tuned for fiscal ’16, we’ll talk about it then.
Ryan Cary - Jefferies & Co.: Okay, and just lastly from me, I was hoping you could provide an update on the progress with payment processing offering. How has the update been compare to your expectations I’d love any color on kind of how the rollout is going and your thoughts about the business going forward.
Martin Mucci: Yeah, it started slow and what we found was using a lot of the field payroll forces, the sales forces, to sell it became a little more complex than we thought because of the complexity of the pricing. And so what we did was last year around half way through the year we brought it inside so it’s referred from the outside sales force and now is sold primarily over the telephone and that has really started to pick up some traction. So it’s still early and very small from our standpoint but it’s really picking up good traction now by selling it. We’re a dedicated team who understands the details of the pricing per client. It actually has even given us some payroll leads where we’ve sold payment processing saved the clients in dollars and actually been referred to other products and sold other products to them. So we’re feeling pretty good about it. Finally it’s really starting to build some traction and more to come on that.
Ryan Cary - Jefferies & Co.: Great, appreciate the color guys.
Efrain Rivera: Thanks.
Operator: Next question comes from Bryan Keane with Deutsche Bank. Your line is open.
Ashish Sabadra - Deutsche Bank: Hi this is Ashish Sabadra calling on behalf of Brian Keane. A quick question on the guidance. Last year I believe when you gave the guidance the range was within a percentage. This time you’ve given a 2% range. I was just wondering if there has been any change in your guidance philosophy.
Efrain Rivera: No, not really. I think it doesn’t imply more volatility. On the HRS side we went to three points simply because attachment rates on some of the other -- on healthcare can sometimes vary but we thought just to keep it more consistent. We’re obviously pegging at the middle of the guidance, that’s what we’re doing but the future is uncertain and we put those ranges represented what -- where we could end up.
Ashish Sabadra - Deutsche Bank: Okay actually just a quick follow up on that, you mentioned you’re pegging it to the middle of the range but just wondering because at the low end of the range it would imply a slowdown in the growth rate but given that payroll is improving, small business sentiments are improving what will take you to the low versus high end of the range?
Efrain Rivera: Unforeseen factors that at this point we don’t see. You never know, I will say that if you saw two years ago we guided to, I believe at that time it was around 3% to 4% in payroll. We ended up at 2% and I spent three quarters trying to explain a multitude of external factors that everyone assumed were competition when they weren’t. So that stuff can come up. Q3 was a great example so suddenly we end up with some pretty bad storms and it becomes more complicated. So stuff like that can happen, so we trying to kind of create a more all-weather scenario for where we think our results will be but in the absence of those we don’t anticipate being at the low end of the range.
Ashish Sabadra - Deutsche Bank: Okay, thanks for the color. Quickly on -- when we add up the number of the customer growth of 2% and then checks per client of roughly 1, 1.3 and pricing increases they don’t add up to the revenue growth and I was wondering is that also related to the mix in the sense SurePayroll or if you could help us parse out what the customer growth how much is driven by SurePayroll versus the core payroll growth and if the mix also has some impact?
Efrain Rivera: Yeah, mix has some impact but I think you can’t just add it, I’ve mentioned this to people repeatedly checks don’t add up, one for one. So 1% checks doesn’t equate to 1% revenue. There’s mix within checks so that might equate to 33% of that 50% or sometimes a little bit more. Second, client growth is achieved over the course of the year. So you can add two it at best is half of that, right, because it’s a weighted average during the year and then you got to figure out pricing. So we feel pretty good, we saw growth across all the segments that we thought should grow in core. And I would say this for people who wonder about that issue, if you look at our data, if you look at our data over since 2011 and you look at our revenue retention, we've grown 200 basis points in revenue retention. You saw client retention at its highest level, Marty didn’t talk too much about that, but client retention currently is at its highest level. But our revenue retention is at its highest level too. So we feel pretty good about where we're at.
Ashish Sabadra - Deutsche Bank: That's great. One final question from me was the HRS, the growth slowed down a bit in the fourth quarter. Was that mostly tough comps or were there any other factors?
Efrain Rivera: It was primarily tough comps. We had a really, really strong Q3 and actually last year we had a real strong Q4. So a little bit tougher comp, it was really not too much else going there.
Ashish Sabadra - Deutsche Bank: Okay, thanks for the color.
Operator: Next question is from Sara Gubins with Bank of America-Merrill Lynch. Your line is open.
Sara Gubins - Bank of America Merrill Lynch: Hi, thank you. Are you seeing any change in the average client size for payroll services? You talked about that being about I think it's was around 17 or so before, is that changing at all?
Efrain Rivera: Hey, I am going update that Sara, it looks like we skewed a little bit higher this year.
Sara Gubins - Bank of America Merrill Lynch: Okay.
Efrain Rivera: So we’ll update it. I don't have the exact number in but our preliminary data would suggest we were up closer to 18, but we'll get that info out.
Sara Gubins - Bank of America Merrill Lynch: Do you think that there is, I might be pushing this a little bit but do you think that there is anything related to the strong growth in HR services as I would assume that there would be a greater propensity to buy from slightly larger clients?
Martin Mucci: May be a little bit but I will tell you that what we're finding is that we're definitely selling more of the products, even more of the products down market. Things are -- everything is coming down and it's giving us a nice opportunity to sell to the even the under 20 space many more products. So I wouldn't say it's probably that because what we're finding is these products are even selling more down below 20.
Sara Gubins - Bank of America Merrill Lynch: Great and then just last question on share count. Could you may be help us think through the balance between the share purchases that you did over the course of the year and not seeing the share count decline close to that magnitude, just talk about the issuance?
Efrain Rivera: Yeah good question. So I guess the way I’d characterize it is this way is if you look at Q4 our share count finally went down in Q4. So vis-à-vis Q4 last year and this year you started to see it come down. We had a fair -- when the stock ran from let's say 30, low 30s up to 45 we had a lot of exercises in pent up demand because there was a significant amount of shares still out there. So we had about 3.3 or so million dollars of projects, 3.3 million shares that were exercised. So long story short we saw that and we wanted to buy the offset dilution and that's why you don’t see necessarily a significant reduction in the number of shares.
Sara Gubins - Bank of America Merrill Lynch: Thank you.
Efrain Rivera: Sure.
Operator: Next is from Joseph Foresi with Janney Capital Markets. Your line is open.
Martin Mucci: Hi, Joe.
Jeffrey Rossetti - Janney Capital Markets: Hi, good morning. This is Jeff Rossetti in for Joe. Thanks for taking my questions. Just wanted to see on the margin side I think Efrain you had mentioned you are expecting sales force to increase about 5%. I just want to see how that ended up with how the year ended and just want to see how when we think about your guidance for margins should we assume some SG&A to increase as a percentage of revenue and there is still to be some operating leverage with respect to operating expenses?
Efrain Rivera: Yeah, so I would say this, it's going to be lumpy in the first half of the year and you are going to have to look at the schedule we've got because it's very difficult to talk about leverage, Jeff without referring to that schedule. It won't look like there is leverage it looks like we're deleveraging and you are going to see that really frankly through the first three quarters and then you start to level out a bit in Q4. So you got to look at that schedule. If you look at it and you don't have the data but if you were to look at it without that yes you would see some leverage, it would be modest. We've made a decision that probably cost us approximately a penny to increase, put more into and increasing the sales force. We thought that made sense and so we decided that investment was the right one to do.
Jeffrey Rossetti - Janney Capital Markets: Okay, thanks and maybe just, could I get some additional color on the SaaS kind of penetration that you’ve seen recently and I was also wondering, I think you Marty had mentioned that there’s still some like slow decision makings on healthcare-related plans. I just want to see if that changed at all in the last few months, I think maybe some more commentary was given three months ago, just wanted to see have you seen any changes going forward? Thanks.
Martin Mucci: Yeah I’ll start on the healthcare one, I think we’ve continued to see that. I think particularly that may happen through the summer, until you get more closer to the fall as benefit plans starts rolling out and people start seeing rates and so forth for January 1st for starts. I think what we’re finding is just there’s been so many changes in healthcare reform and dates that the clients are more kind of like sitting back a little bit, so even though we had the products out pretty early we are getting some traction on the products because it’s clients have to start to understand right now what changes they may have to make in part time, full time when they hire the next person, what kind of impact that’s going to have to them particularly if they’re around the 50 mark. And so I think it’s kind of picked up a little bit towards the end of the summer but it still been slower than we expected and I think that’s because of the changes. So haven’t seen a lot of change there. On the SaaS it continues to increase. We don’t really give a percentage but you can see everything we’re doing pretty much is in investment is in SaaS. The acquisition in nettime was also for SaaS. So we’re seeing a big pickup in SaaS-related products for the HR services and support, HR administration, benefit enrollment, time and attendance, expense tracking, everything frankly that we offer is pretty much now on a SaaS basis and that we’re seeing a large pick-up on it. So that will just continue to grow and frankly it won’t even be a discussion of non-SaaS, it will be just SaaS.
Jeffrey Rossetti - Janney Capital Markets: Thank you.
Martin Mucci: Okay.
Operator: Thank you. And the next question comes from Gary Bisbee with RBC Capital Markets. Your line is open.
Martin Mucci: Hi Gary.
Gary Bisbee - RBC Capital Markets: Hi, just want to understand exactly why the accounting change or the change in how you’re presenting the data you’re not taking any insurance risk, there is nothing like that that forces you to recognize this. I'm assuming and if that’s right and why make this change? Thank you.
Martin Mucci: Yeah so Gary let me just explain this. And without again going too far down a hole with the way you account for a cost in the PEO, we, in certain markets decided that it made sense for us to go to something called the minimum premium plan where your risk is capitated but you do take some risk based on the book. And within the PEO and most PEOs do risk you were taking risk also on worker’s comp. So you have to do some underwriting, you have to be pretty good at underwriting to do it. That is not all of our PEO plans but it is some of them. When we did that, that tipped us to now represent those -- that portion of the revenue as gross, essentially include the cost of insurance. So I would say yes we do take a bit more risk but it’s capped.
Gary Bisbee - RBC Capital Markets: Okay and so you would have an insurance provider that would be offering you like the equivalent of you would be capped out at a number per current, right okay all right, should we think about this as something that might modestly increase the volatility or are you pretty confident in the underwriting in the history of the data such that you have a strong ability to predict this?
Martin Mucci: Which volatility, top line or bottom line?
Gary Bisbee - RBC Capital Markets: Well I mean if there is ever a difference between what the actual insurance costs are relative to what you forecast? Because you’re taking more risk…
Martin Mucci: So let me take, yeah -- thanks for the question because I think it’s a great question. So the short answer is it really shouldn’t have a dramatic impact on income unless you really don’t do your homework and start taking risk that are inappropriate. So I think we understand one of the really terrific stories over the last three years is that if you remember the calls we were having three, four years ago, about how the PEO wasn’t doing well. Behind the scenes we decided that we needed to put a major effort against fixing it and we did. So we do a really good job now of understanding what our risks are in a PEO. So you shouldn't see significant amounts of fluctuation based on earnings but the rates of attachment of all these plans can't swing sometimes, the top line. So you could have a little bit more volatility on the top line. That's why we called out in a schedule that we're publishing shortly what the revenue will look like. It will even out as we get into next year. So you could see a little bit more top line volatility but shouldn't dramatically affect the bottom line.
Gary Bisbee - RBC Capital Markets: Okay, great, that's helpful. And then just a follow up question, can we get a sense of the mix of the good new sales performance in fiscal '14 and I guess product any highlights, good or bad you mentioned and then how much of it’s concentrated on new customer versus selling more to the existing base? Thank you.
Gary Bisbee - RBC Capital Markets: Yeah the new, the sales performance I was talking about was really new customers. We have done a good job I think in selling more products but for the most part it's been selling new customers and I would say it’s in the payroll side, the core payroll side and particularly the PEO and HR solutions, HR support products have been very strong. But across the board we really had a good year, our best in many years from a sales performance perspective and I think that's great execution on the leadership team. It's been a new leadership team really for a number of years now and Mark Bottini has come in and run all the sales, about three years ago he’s built a new team, a leadership and I think it's just been, it’s was just a very good execution as well as a little bit of the economy coming back slowly as well. So I think we've just gotten a better and better at the comp plans, the support tools, the leads and everything across the board. So I would say primarily strongest has probably been the core payroll and the HR solutions but really across the board it's been pretty good.
Gary Bisbee - RBC Capital Markets: Okay. And then just one last one the 5% sales headcount growth for fiscal '15 how is that compared to what the actual sales head count growth was in fiscal '14? Thanks a lot.
Martin Mucci: Pretty modest I am going to say may be couple of percent in last year and we just thought given where we're at trying to step on accelerator a little bit.
Gary Bisbee - RBC Capital Markets: Great, thank you.
Martin Mucci: Okay.
Operator: Thank you. And the next question comes from Jim MacDonald with First Analysis. Your line is open.
James MacDonald - First Analysis Securities:  Hey good morning guys.
Martin Mucci: Hey Jim.
James MacDonald - First Analysis Securities:  Can we talk a little more about the strategy for going self-insured, how that helps your competitiveness and how broadly it's been picked up so far?
Martin Mucci: So the long and the short is that in certain markets, Jim essentially minimum premium plans where you capture liability is basically what you need to do to be competitive in that market. And as those of you who've covered the company for a while know we didn't do that in the past but thought it was important, number one, Number two, I would say that the stage of maturity of our PEO is at a point where we feel pretty comfortable about our ability to underwrite and understand that risk and obviously was discussed pretty extensively. And the third thing I would say is that we recognize that there is a nice opportunity in the PEO. We want to put ourselves in the best position to capitalize on it.
James MacDonald - First Analysis Securities:  And just fine, so how many markets is it in, I mean what kind of percent take up do you expect?
Martin Mucci: So the majority of our plans still are in the hands of third parties. So we are in currently with one state that's got a minimum premium plan.
James MacDonald - First Analysis Securities:  Okay. And is the PEO becoming more competitive because of this, is that -- and kind of the flip side of that, is that impacting your brokerage business which was you said was flat?
Martin Mucci: Well I think, you referenced it. I think it is becoming -- we really thought good about the execution of the PEO team and I think this makes us more competitive, particularly in certain markets. So we've kind of tackled this by market, as Efrain said, we're in one major market for us where a lot of the PEO sales have been and that's where we did this because we felt frankly it was more competitive, we had better flexibility to compete and there was a better opportunity for us and that the timing was really right from both internally from our execution perspective and externally from the opportunity size that’s out there. The PEOs obviously have a very good opportunity and particularly with healthcare reform and so forth now thing are really picking up. So this was the right time to do it and we felt very good about managing the risk in the underwriting as well.
Efrain Rivera: Yeah and Jim with respect to the insurance business let’s say that there’s two aspects to that. We had a super strong year on worker’s comp insurance. It really -- they really did very, very well. And on H&B we anticipated that the under ten market was going to gravitate towards exchanges. That’s what we’re seeing. So client count is a little bit deceptive in that sense because that’s reflective of a lot of smaller plans gravitating down where we think that will settle out. We’ll get back into a pattern of better growth there because we pivoted that sales force. We made both an investment in that sales force, in numbers and also we have redirected them towards selling in the above ten employee space.
James MacDonald - First Analysis Securities: And just one more, we haven’t talked much about the middle market. Could you just give us an update on what you’re seeing there?
Martin Mucci: Yeah I think the competitive environment hasn’t changed a lot, even though there has been a lot of talk about it in IPOs and so forth. We haven’t seen a big change there. I think what they’re looking for is exactly what we’ve been working on the last few years which is the breadth of product and integration, very much a SaaS focused and we feel good about across the board, the products that we have. I think that we like to see even more growth there but I think this is going to be a good year for us on the mid-market side I’d say last year was good. It wasn’t as great as we like to see but I think we were still kind of integrating all the product set but we have a very strong product set, time and attendance and HR administration online in particular is really taking up and that’s why we went after the acquisition of nettime, because we felt that the opportunity for time and attendance is really big, not only in the mid-market but moving down but we thought that that was a great product and great development resources frankly to keep the product very competitive. So I’d say mid-market this is going to be a good year for them and last year was good and it could be even much stronger this year.
James MacDonald - First Analysis Securities: Great thanks.
Martin Mucci: Okay, thanks.
Operator: Next question is from David Grossman with Stifel Financial. Your line is open.
Martin Mucci: Hi David.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Hi, good morning. It sounds like you’re expecting some acceleration in the HRS segment, so sorry if I missed this earlier but can you help us better understand why you’re becoming more optimistic in the key segments that you think will drive that incremental growth?
Martin Mucci: Well I think we’re optimistic David because we had good success this year. We’ve seen that the PEO has done very well, the HR solutions, the ASO model on the other side has also done well. I think what we’re finding is that the opportunity for HR outsourcing has really continued to grow and we’re very good at it. We’ve been doing it a long time. We’ve over 400 HR specialists out there handling more and more clients each. And I think we’ve really got the model down extremely well, whether it’s a PEO or ASO that sales force is both -- sells both products. So they look for the needs and the value to the customer and sells it that way. So I think the HR solutions frankly is just we had a stronger year than we even expected and we think that’s going to continue and we may move slightly the MPP plan with the PEO to give us even greater flexibility and to capture the opportunities from a profit standpoint. So we feel very good about that and in there too is a lot of the acquisitions that we’ve done, ExpenseWire, myStaffingPro, a number of products and now we’re getting them integrated even more tightly with our payroll processing and I think that’s all very good news for across the board. We’re starting to capitalize on the investments and the acquisitions that we’ve done.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: And can you [lay out], a segment how much of growth this year will be acquired growth and then I guess I was also thinking perhaps the Affordable Care Act maybe at least for the moment a catalyst for small businesses to embrace an outsourced solution at least at the front end of all this as everything seems to keep changing and just looking for external support, at least again at the front end of this change.
Martin Mucci: Yeah, it definitely is. It's been slower than we expected on the healthcare reform because of all the changes. We've put some very good products out early on helping you track ours, helping you tie in your time and attendance to measuring how many hours and full time equivalents and all the things that you need. And we have very good products on that side but it's gone a little slower than we expected because the government, the federal government keeps changing the dates and the rules and who it applies to and I think that's made people more cautious about deciding. But I do think that's going to -- as we get into '15 that's going to come more and more too ahead and people will start more businesses, will make more decisions. So I do think that's a bit of a catalyst and it's been a catalyst frankly just to get in the door to talk to more prospects because they're wondering how it applies to them, do they need something or what. I also think that's going to help on the PEO in total HR outsourcing. ASO and PEO models as well because once they start making decisions on healthcare I think they are also seeking the opportunity to just outsource the HR because the compliance requirements, frankly beside healthcare there is just a ton of compliance requirement that just keep coming out by state for things that they are going to have to do. So I think that that's where we see continued opportunity there.
Efrain Rivera: And David the nettime acquisition is less than 1% of revenue and less than 1% of HRS revenues. So it’s relatively modest. What we liked about it was, it is the leading SaaS time and attendance product of its type on the market. And there are not a lot of those products on the market we like the technology we would like the team and feel we're really, really well positioned in apart of the market that shows a lot of promising growth both inside or based outside it.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: I see, well thanks for that. And I am wondering if I could just go back to the conversation about check growth and client growth and perhaps I've got a bit of dated view of this but my understanding has been historically that during periods of low client growth your check growth would go up because you typically add at the low end right in terms of new business creation fewer employees basically. So I am wondering if you could help us make the connection between what has been perhaps stronger than expected check growth and relate that to what you’re seeing in terms of client growth and perhaps the moderation related to better client growth next year. And then secondly, help us understand if there is any impact on pricing as the mix shifts from kind of selling more, if you will, into the existing base versus taking on new clients.
Martin Mucci: Yeah, okay. So let me take a stab at the first one so I understand what you are saying so if you -- if in a given year you are adding a lot of clients that are call it under four typical new start up at 3.5 it’s going to have a diluting effect on your checks per payroll. And so if you have a lot of adds you would see checks per payroll decline. That's in a steady state environment David. We're employees weren't necessarily adding a lot for employees and I think that what we didn't model very well was if you look at the last five years, no surprise we didn't add clients there for a period of time. So that did have an impact on increasing checks per client if your client base was growing. So you had a rapid acceleration of client based growth starting around 2010, I shouldn't say a client base, client employee growth that's what the data suggests. And now you've kind of leveled off a little bit more on steady state. I think when you put all that together we anticipate that cheeks per payroll are going to start dipping below 1% sometime over the next several quarters and then it won't be worth having too much of discussion on it will just be steady state and our adds on the client side will start to really dilute that, so it doesn't really become that important. So a lot of things have changed over the last seven years to kind of change that equation a bit. But I think that's fundamentally what's going on. And then I apologize because I don't remember the second part of your question.
David M. Grossman - Stifel, Nicolaus & Co., Inc.:  It was on pricing that, does that dynamic is client growth accelerates and checks per client decline out, that the checks isn’t issue but as you do more business with newer clients how does that effect the pricing equation if at all?
Martin Mucci: I think it’s still the pricing, we still had pretty good pricing power. Now it’s one, it’s still little early to tell we need to kind of get through the first quarter to kind of give a sense of it this year but we’ve really been able to stand that range the 2% to 4% range that we typically talked about our annual pricing and we’re getting it on new clients, the new clients where you’re in on a competitive standpoint has been pretty good. We haven’t seen our discounting go up a lot on new sales. It’s been fairly consistent so I think there’s always competition there but and frankly if we’re getting it from our referral sources then there’s less competition and more just coming with us which gives us even more pricing power. So on average for new client acquisitions we haven’t seen a lot of discounting go up much.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Okay got it. And then just lastly on the flow income, can you remind us how much of the portfolio turns over this year and the related yield compared to the reinvestment rate assumed in your guidance?
Martin Mucci: Yeah okay nice, that was a very succinct way of putting a lot of pieces together. So about 15% to 20% of the long term portfolio is going to turn over this year. I think we mentioned we are at about 1.6% we probably get some more close to that. Although I always caveat that because rates have just been very volatile. So as we speak publicly in the 255 to 260 range on a ten year treasuries and we were up to 3.1 but that’s a sense of what happens. And then David the other parties that were typically 45% to 50% short term. So essentially that’s turning over every day and we’re getting eight basis points. I think there is a disclosure in the K is that 25 basis point move is going to create about $4.5 million worth of additional income to the bottom line. So just one point not to complicate it any further but based on where you expect interest rates to be you can modify the portfolio either longer or shorter. We’re staying a little bit sort of in the middle neutral at the point, at this point because we think that there -- some things are going to happen with the Fed sometime reasonably soon.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: So you’re saying that the embedded rate of 1.6% is relatively -- is comparable to what the reinvestment now is on the long-term?
Martin Mucci: Probably a little bit higher but it doesn’t really…
David M. Grossman - Stifel, Nicolaus & Co., Inc.: And I assume you have some visibility on this, can you give us an idea of how much of the portfolio turns over in fiscal ’16?
Efrain Rivera: ’16 is priced similar about 2015 to 20%, it’s always around that range.
David M. Grossman - Stifel, Nicolaus & Co., Inc.: Okay thanks a lot.
Martin Mucci: Thanks David.
Operator: Next is Glenn Greene with Oppenheimer. Your line is open.
Glenn Greene - Oppenheimer & Co.: Thank you, good morning just a sort of a couple of questions love to hear. I was wondering just sort of give us a little bit of update on sort of a traction you’re getting with SurePayroll, maybe a sense for what the customer growth was on the SurePayroll this year and what’s your sort of expectations is for industry growth how that sort of SaaS industry, what kind of traction the industry is growing out at this point and how you sort of did relative to the industry?
Martin Mucci: Yeah Glenn, of course we don’t break it out any more but we’ve been very happy with their growth. Their sales have been very strong, retention has been good, and they’ve continued to build partnerships as we have with banks, with referrals and so forth in banks for their white label product which we actually go into the banks now and have been very successful going in together. So either you want to give referrals to us or you white label a SurePayroll product of a number of banks. So we’re very pleased with it. We don’t want to break the growth out because it’s becoming more and more of integrated part of us but we’re very pleased with their growth and they’ve reached some nice milestones this year.
Glenn Greene - Oppenheimer & Co.: And then on the margins the 37% to 38% guide for ’15, down a little bit from this year and I think Efrain you talked about a few things like the investment, sales growth of 5%. The other thing would be the reporting change the change in the insurance reporting is that a meaningful drag or not to significant or anything else we should be thinking about as relates to the margins?
Efrain Rivera: Yeah Glenn, If I wish I could just have a -- one thing, when we put out the press release we couldn't to my -- in deference to my good friends on the West Coast we release before so they get -- they don't have to get up at 7. We probably in the future would just simply release a day up because a lot of notes just had it wrong. You need to see the schedule. So the point you are making is a very valid point. The reason why the margins are down is because of the reclassification on the PEO cost. We’re still continuing to leverage. During next year it's going to appear lumpy until we get close to Q4 and then it starts to normalize. So the answer is no, our margin isn't deteriorating. It's simply the reclassification of these costs. Please if I can…
Glenn Greene - Oppenheimer & Co.: Can you quantify that, there might just be simple -- we'll see the schedules but is that 50 basis points or something like that?
Efrain Rivera: Yeah you are looking at a quantification of about 100 to 150 basis points. But it would be pretty explicitly stated on the schedule. And I wish I could just put it all out but it was just going to be too confusing. So and for those of you who have any questions whatsoever please give me a call or have one of your associates give me a call and I’ll walking them through that if you have any confusion on it at all. And look at -- I can't, we can't have a pre-call to say we had a change in terms of the way we did the accounting, but thanks for asking the question.
Glenn Greene - Oppenheimer & Co.: Yeah and just one more on the share repurchase, you renewed obviously upped the authorization in May, but would you think it would be sort of sustained at the same level of appetite to repurchase shares this year as relative to fiscal '14? And should we see a benefit on the share count going down more so than in '14?
Martin Mucci: No, I would say we're just going to keep it relatively flat and purchase to offset dilution at this point, if we make a change there we'll chat with you.
Glenn Greene - Oppenheimer & Co.: Okay, great. Thanks a lot.
Martin Mucci: Sure.
Operator: Next is from Jeff Silber with BMO Capital Markets. Your line is open.
Jeffrey Silber - BMO Capital Markets: Thanks so much, I know it’s late, I’ll just ask last one quick one. Looking at the client growth acceleration in payroll services, were there any types of clients where you saw faster growth may be you focused a little bit more on your sales effort there?
Martin Mucci: No, I would say across the board we had pretty good growth there. And really one of the things we forget that we still have an Advantage Payroll base that we purchased back in 2003 that we haven’t really been selling, continuing to sell in that market. That drops off, that continues to just kind of drop off because we're not selling new but across the board, whether it's the SurePayroll core payroll, et cetera, international we've kind of had nice, pretty good growth, some ups and downs but pretty good growth across the board.
Jeffrey Silber - BMO Capital Markets: Okay, great. Thanks so much.
Martin Mucci: You're welcome.
Operator: Next is from George Mihalos with Credit Suisse. Your line is open.
George Mihalos - Credit Suisse: Hey guys, most of my questions have been answered but just quickly if we look at the outlook for HSR revenue growth, the 11% to 14% on adjusted basis, that compares to the 11.5 that you did last year. Is all the acceleration on attachment of ACA related products that could potentially kick in?
Martin Mucci: No, it's not. It's basically George it's really just strength in the HR solutions portion of the business and also the other products that we sell.
Efrain Rivera: It's across the board but you will see the biggest growth part of that is still going to continue to be the PEO and HR outsourcing business. But 401(k) continues to grow and across the board in insurance and so forth.
George Mihalos - Credit Suisse: Okay. Should we be thinking that growth would be a little bit more backend loaded throughout the course of the year or fairly uniform?
Efrain Rivera: It's a little bit, George what I would suggest is you look at the schedule because you will see while if you look at our EPS, between first half and second half, there is not a huge amount of difference for the implied EPS, what you can see the growth is a little bit more back half weighted.
George Mihalos - Credit Suisse: Okay, thank you.
Operator: Next is from Tien-tsin Huang with JPMorgan. Your line is open.
Tien-tsin Huang - JPMorgan: Hey, thanks good morning. Hey, good morning, thanks for taking my question, just on the -- I want to ask about float income growth it seems conservative at flat given what you showed in the fourth quarter and how you did better than you said last year. Anything unusual there I caught the rate commentary you gave to Dave, I thought fund balances would help you could get to positive.
Efrain Rivera: Yeah we could get to positive. I think what we're -- what's happening is every quarter when we reinvest we're looking at a different interest rate scenario. And I would say we looked at four different interest rate scenarios last year meaning that what we saw in the market differed every quarter and so we have to make a decision in that quarter, do we go long or do we go short. And our bias now is to stay a little shorter because we think that longer we’re going to see a pop, that’s where we’re at, that’s what the guidance implies.
Tien-tsin Huang - JPMorgan: Understood okay. So obviously that will be fluid and we’ll get updates as we go, makes sense. Then just one more clarification, just I know there’s a lot of talk about PEO, how does the mix shift to PEO if that’s indeed what’s happening, how does that impact your payroll service revenue at all and does it impact your payroll client account because I'm not sure how those things get treated if you follow my question.
Efrain Rivera: Yeah good question, so if we add PEO clients they are included within our payroll client number, I would say the numbers weren’t big, so don’t think that what was driving it was PEO. But I think I’ll just use that question to highlight something important people think of Paychex as or typically have thought of Paychex as sub payroll and attach ancillaries and what’s increasingly occurring company as you know the way that we capture our client can be through a PEO sometimes when we attach payroll after an HR sale. It’s the breadth of offerings and that breadth of offerings combined with mobile technology that pulls all of that information together that I think uniquely positions us in the market. So going in through one single sign on, which virtually no one has through one integrated suite of products or of one database which is what we’ve been doing from one investment standpoint permits to you enter either through the PEO through the ASO through a 401(k) and go back into payroll to I think we’re really uniquely positioned there so the sales are occurring in a lot of different ways.
Tien-tsin Huang - JPMorgan: Understood, it’s very clear, as long as we can invest, thanks.
Martin Mucci: Great thanks.
Operator: Next is Mark Marcon with Robert W. Baird. Your line is open.
Mark S. Marcon - Robert W. Baird: Thanks. Good morning, how large is the sales force now?
Martin Mucci: I think we are over on the feet on the street over 2,600.
Mark S. Marcon - Robert W. Baird: Over 2,600 and how many are running a typical quota? In terms of what you used to be targeted back in, prior to the recession?
Martin Mucci: Last year a lot of them, remember that typical quota is going to vary by product but if you look at the core I would say we did very well last year.
Efrain Rivera: Yeah I don’t think we typically have broken that out or anything so.
Mark S. Marcon - Robert W. Baird: We talked around the edges to see if we could kind of get to it. So it sounds like we have enough that are running at that level, that really doesn’t necessitate an increase in terms of the sales force.
Martin Mucci: Oh yeah I think and we definitely as you know Mark, we’ve kind kept that on a low side of ads and then as we saw more productivity and we saw the execution across the board and the opportunity I think growing now is the time to add the additional reps in various areas so…
Mark S. Marcon - Robert W. Baird: Great and then with regards to major markets how should we think about that particularly given some of the discussions. Isn’t that an area where we are going to be investing a little bit more?
Martin Mucci: Yeah we continue to invest. It’s hand good investment. Now the interesting thing is that that investment really spreads across when I would say years ago hey these time and attendance offerings for example or HR online offerings are for the 50 plus it really has come down quite dramatically and so we don’t, we think of the investments frankly is almost the entire base anymore maybe not under five or under 10 or some, but definitely under 20 you’re selling time and attendance solutions whether it’s our simple time clocks or whether it’s the new solutions they are selling a lot more broadly. So you kind of start with the over 50 but you’re definitely seeing it all come down. The needs are deafening and there is some, it’s because of the simplicity the integration of the SaaS and the adoption is really taking it much, much further down market.
Mark S. Marcon - Robert W. Baird: How are you thinking about the upper end what you’ve traditionally targeted with regards to majors?
Martin Mucci: I think we’re still, I think we’re doing well there and you’ll continue to see that the investments we’re making will help us and I’ll say 250 to 500 range, as well. I think we’re competitive there but certainly our focus and majority of the client base has been lower and we’ll continue the things we’re investing in, will continue to help make us very competitive on a 250 to 1,000 but I would say primarily 250 to 500 to 600 to 700 we do very well there.
Mark S. Marcon - Robert W. Baird: Okay great and then so just going back to the margins .So if we were to adjust this past fiscal year under where would the margins have been?
Efrain Rivera: Yeah the margins would have been between 38 to 39.
Mark S. Marcon - Robert W. Baird: I'm sorry, I meant fiscal ’14 which just ended.
Martin Mucci: Yes.
Mark S. Marcon - Robert W. Baird: If we wouldn’t apply a similar treatment to what you’re going to do prospectively?
Martin Mucci: Prospectively UG market to be a 50 to a 100 basis points higher. So let me explain because at this time which is deafening. This year we clogged out our margins were approximately where they were between 38 and 39 about 38.7, 38.6, by applying the same logic so I'm not inflating the top line with the -- not inflating us not there, I'm not grossing up the top line, it be between 50 to 100 basis points higher in prospectively.
Mark S. Marcon - Robert W. Baird: Okay so in other words if we take a look exclusive of float, you basically been running incremental margins north of 50% for two years now. What you basically say if I'm interpreting things correctly despite the increased investments behind the sales force and technology the leverage is still there other than this change and so the reality is we’d still see incremental margins that would be in the similar range?
Martin Mucci: That’s correct Mark and put another way, this year’s going to be lumpy and choppy because we’ve got these additions to revenue. By the end of the fourth quarter and by the way I’ll just repeat for those who are still here on the call, there is a schedule, hopefully it’s out by now on the website that details this and helps you really refine the model. By the time we get to the end of the, by the time we get to the end of ’15 you’ll see that margins start to normalize. But we’re doing it on a higher level of revenue you can’t get even to the lows of the margin that we’re talking about if we weren’t leveraging so there is leveraging the model I guess and we will continue to do that.
Mark S. Marcon - Robert W. Baird: And is there an anticipation that in the first quarter of next year or in the third quarter of next year the add that we had for this treatment that we would end up seeing higher adds in other words…
Martin Mucci: No, it actually levels out. Mark what I would suggest is look at the schedule and you’ll see it and we’ll talk about it in detail, but the first two quarters are where you see the most of the revenue add, third you see some and then by fourth it really diminishes.
Mark S. Marcon - Robert W. Baird: Just out of curiosity why wouldn’t you just, within your next press release just and at least until things level out just include a paragraph where it’s like if we had treated things in a similar manner?
Martin Mucci: Yes, that’s good feedback, we may do that. By the way it is in our current press release.
Mark S. Marcon - Robert W. Baird: I know I appreciate it. That made it a lot easier, okay.
Efrain Rivera: We will continue to do it.
Martin Mucci: Yeah we’ll take a look. Because the biggest thing that Efrain mentioned was the margin really it’s probably the one thing that’s been misunderstood. It didn’t go down 100 basis points or so it’s -- we have not gone down on margin it just brings more revenue up in the top line.
Efrain Rivera: Mark we’ll either put it in or I’ll just talk to it.
Mark S. Marcon - Robert W. Baird: Because I mean if somebody is just going through the math and is making an adjustment to say the last quarter the way it look is if we make that adjustment the 37 to 38 that’s been guided to doesn’t seem to imply any sort of margin improvement, which would imply that your incremental margins are going down which is something that you’re not which is clearly not going to be the case.
Efrain Rivera: Yeah but again what I would say is look at our supplemental schedule that we’re posting because you can’t understand the numbers without understanding, how much in each quarter we’re adding revenue by this change.
Mark S. Marcon - Robert W. Baird: Great thank you.
Martin Mucci: Okay thanks Mark.
Operator: Thank you. The next question comes from Michael Baker with Raymond James. Your line is open.
Michael Baker - Raymond James: Yeah I just wanted on the new health insurance offering understand if like in fiscal ’16 could we continue to see some impact as you potentially rollout to more markets or is this just kind of a one year impact?
Martin Mucci: Well I think you’re saying on the PEO piece of this right, when you say insurance offering.
Michael Baker - Raymond James: Yes.
Martin Mucci: I think it’s something we continue to look at. Right now we have one plan in a major area of our PEO and we’ll continue to look at this from a competitive and opportunity competitive nature and opportunity perspective and there could be more which would -- could produce more changes and if that’s the case then we’ll go through this. We’ll probably get even better at refining exactly what the impact is but it could, at this point we don’t plan on it but we continue to look at our markets and find that if it makes sense to do more we’ll do more.
Michael Baker - Raymond James: Okay and in the market where it exists can you give us the underlying healthcare cost trend assumption that you’re using for the product?
Martin Mucci: No, but it’s probably close to national averages.
Michael Baker - Raymond James: Okay I appreciate it, thanks for the color.
Martin Mucci: One other thing I want to say just to refine that, that underlying cost trend is going to be a function of your ability to underwrite the people in pools. So if you’re good, you hopefully can beat that trend by getting the right people in your pool. So that’s all subject to a little bit of managerial effort.
Michael Baker - Raymond James: Right and just to that point though, you could actually see what we call favorable trend as well in other words people are kind of more focused on the risk side of it but periodically at least within the year you could experience favorable trend and then factor that into your pricing next years -.
Martin Mucci: You cover the PEO, it’s part of the strategy that you use in the PEO.
Michael Baker - Raymond James: Right I guess the other concern that’s out there is that because we see what can happen to the pure play to self-insure. There was just kind of that element of uncertainty there. Is there any potential down the road to like you do for interest rates give at least some sense and I know there are other pieces because you have what we call stop loss or some form of app on it, just to kind of ease some of that because normally what happens is the concerns tend to creep up what we call back half of the year given some of the -- and not when I mean back half of the year I mean calendar year.
Martin Mucci: Definitely I know what you’re saying, so yeah I think we’ll call that out. Subject to -- there are certain competitors in the market and we look at -- we try to level at the disclosures we provide, no one else is doing so we don’t most assured, we see some trend changes we’ll talk about it.
Michael Baker - Raymond James: All right thanks.
Operator: Thank you. Tim McHugh with William Blair. Your line is open.
Martin Mucci: Hi Tim.
Unidentified Analyst: Good morning, it’s actually [Stephen Sheldon] [ph] in for Tim. Just wanted to clarify is the 5% sales force growth expectation is that for core payroll or is that for overall sales force payroll?
Martin Mucci: It’s for overall.
Unidentified Analyst: Okay and then I think you said that acquisitions would add less than a 100 basis points overall revenue growth in 2015 but just wanted to ask is there any assumed impact from acquisitions on your margin guidance?
Martin Mucci: It has a slight negative impact but again I didn’t call out either because frankly there are surrounding areas.
Unidentified Analyst: Okay thanks.
Operator: Thank you and our last question comes from Ashwin Shirvaikar with Citi. Your line is open.
Martin Mucci: Hey, Ashwin.
Ashwin Shirvaikar - Citigroup: Hey guys, thank you keeping this open so long. Most of my questions have been answered. I just wanted to ask and I hopped off the call for brief bit so I apologize if this was asked. Do you have any clarity on the number of processing days in each quarter for this fiscal year? Because I know that last year it kind of created some ups and downs?
Martin Mucci: Yeah it created noise. I could have done a better job on that one, but yeah the exact same days, so there’s no date changes.
Ashwin Shirvaikar - Citigroup: So on a year-over-year basis just to clarify its going to be the same days each quarter?
Martin Mucci: Yeah, same days each quarter.
Ashwin Shirvaikar - Citigroup: Got it, okay well that was the only clarification I had I just want to say happy 4th to you.
Martin Mucci: Yeah same to you and everyone else on the call.
Ashwin Shirvaikar - Citigroup: Thanks.
Operator: I am showing no further questions.
Martin Mucci: Great at this point we will close the call. We appreciate your participation. If you’re interested in replaying the webcast it will be archived until August 4th. Thank you for your interest in Paychex and again your participation in our fiscal 2014 year-end conference call. Have a great summer. We’ll look forward to talking to you next quarter and have a great holiday weekend coming up. Thank you.
Operator: Thank you. This does conclude the conference. You may disconnect at this time.